Operator: Greetings, and welcome to Gaming and Leisure Properties Inc Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Joe Jaffoni, Investor Relations. Thank you, Mr. Jaffoni, you may begin.
Joe Jaffoni: Thank you, Andrew, and good morning, everyone, and thank you for joining Gaming and Leisure Properties third quarter 2023 earnings call and webcast. The press release distributed yesterday afternoon is available on the Investor Relations section on the company's website at www.glpropinc.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ materially from those discussed today. Forward-looking statements may include those related to revenue, operating income and financial guidance as well as non-GAAP financial measures such as FFO and AFFO. As a reminder, forward-looking statements represent management's current estimates, and the company assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to the risk factors and forward-looking statements contained in the company's filings with the SEC, including its Form 10-Q and in the earnings release, as well as the definitions and reconciliations of non-GAAP financial measures contained in the company's earnings release. On this morning's call, we are joined by Peter Carlino, Chairman and Chief Executive Officer of Gaming and Leisure Properties. And joining Peter will be Brandon Moore, Chief Operating Officer, General Counsel and Secretary; Desiree Burke, Chief Financial Officer and Treasurer; Steve Ladany, Senior Vice President and Chief Development Officer; and Matthew Demchyk, Senior Vice President and Chief Investment Officer. With that, it's now my pleasure to turn the call over to Peter Carlino. Peter, please go ahead.
Peter Carlino: Well, thank you, Joe, and good morning, everyone. As always, you will hear from most of our team this morning, though almost everything relevant has been highlighted in our earnings release. However, let me underline these -- a couple of accomplishments this quarter. We expanded our footprint with the addition of the Hard Rock Casino in Rockford, Illinois, by signing a 99-year ground lease generating an initial $8 million in rent. Plus, we've agreed to fund up to $150 million of construction costs at 10%. This construction, you should know, is well underway, and the temporary facility there is doing exceedingly well, with great management looking at the Hard Rock Group going forward. And as you recall, we sold our Hollywood facility in Baton Rouge to Casino Queen. And as part of that sale, we retained the right to design, build and construct the landside facility, eliminating our old boat. Our $78 million spend will produce a yield of 8.5%. The new casino is doing spectacularly well. And I must say, for the money invested there, to say this is an issue of personal pride, it's a terrific facility, and it's kicking butt. So -- but I'll leave to the Queen folks to release the numbers when they're ready to do so. But performance numbers are terrific. As part of managing our design build capability, we hired Jim Baum, who was our Head of Construction at PENN National in my time there. Our team here with Jim built many round-up casinos and major projects over the years. Now Jim gives us the ability to assess and monitor the flow of money into new projects or expansion of existing properties, and we have a number of those on the horizon. With that capability in mind, we acquired the land and certain improvements of Casino Queen Marquette, with an annual rent increase to our Queen master lease of $2.7 million with a commitment of at least $12.5 million for new construction, perhaps more at the property. I should highlight, it's not our goal to become a construction company, but Jim expands our capability to keep an eye on money as it's put out in these construction situations brings a great deal of experience, plus we are doing more thorough examination of our properties, oversight, understanding utility costs, some of the things that we need to know these days. And making sure that the major systems are inspected on a periodic basis. Jim runs that process as well. So I had suggested over the last couple of quarters that 2023 would be a good year for us, and I think it's going to pan out to be a very good year for us. And looking at our probable pipeline, 2024 should be strong as well. So with that, I'm going to turn it over to Desiree.
Desiree Burke: Thank you, Peter. Good morning. For the third quarter of 2023, our total income from real estate exceeded the third quarter of 2022, once again by over $25 million. The addition of the Bally's, Biloxi and Tiverton properties drove an increase in cash flow income of about $12 million. The Tropicana Las Vegas land lease increased our cash rental income by $2.5 million. The Rockford acquisition increased cash rental income by $700,000. The Casino Queen Marquette acquisition and the Baton Rouge landside development increased cash rental income by $900,000. The recognition of our escalators and percentage rent adjustments on our leases added $2.9 million of cash rent. And the combination of higher noncash revenue gross-ups, investment in leases and straight-line rent adjustments drove a collective year-over-year increase of approximately $6.6 million. Our operating expenses were impacted by the prior year recognition of a onetime gain due to the sale of the Tropicana building and other noncash increases such as depreciation. We still anticipate an annualized rent reduction in the amended PENN lease percentage rent between $5 million and $6 million beginning in November of this year, which was negatively impacted by casino closures from COVID during the 5-year reset period. We also expect full escalation of $4.2 million annualized on this lease. In addition, $3.5 million of escalation on the PENN 2023 master lease. Also, around 10 amended Pinnacle and Boyd master leases have rent resets occurring on May 1, 2024. While it is too early to predict with confidence, we expect these resets will increase percentage rent adjustments because the resets that occurred on May 1, '22 included months where the casinos were closed due to COVID. From a balance sheet perspective, our pro forma net leverage is at 4.74x EBITDA. We raised approximately $211 million at a net price of $48.24 under our $1 billion at-the-market program this quarter, which we used primarily to fund the Rockford transaction and repay some short-term borrowings. Our current rent coverage ratios remained strong, ranging from 1.96 to 2.78 on our master leases as of the end of June 30. We have refined full year 2023 guidance for AFFO per diluted share in OP units to a range of $3.68 to $3.69 per diluted share, which now includes the impact of Rockford and the Marquette transactions. Please note that this guidance does not include the impact of future transactions. With that, I'll turn it back to Peter.
Peter Carlino: Okay. Thanks, Desiree. Matt, do you want to add some comments up front?
Matthew Demchyk: Sure. Thanks, Peter, and good morning, everyone. Our decision to use our ATM program during the quarter was driven by the health and composition of our investment pipeline. The quarter also prevented a unique event with our addition to the S&P 400 MidCap Index. The $200 million that we issued bolsters our offensive capability. Done $100 million in proceeds utilized already for Rockford, the remainder allows capacity for new opportunities. On the topic of new opportunities to grow the portfolio, we remain disciplined thoughtful and measured. In this environment, traditional sources of capital are not as abundant and are also proving to be less predictable. At the same time, the value and the kind of bespoke solutions that we offer is as relevant as ever. Our recently announced Rockford ground lease is a prime example of what is possible in this environment. A relatively bite-sized $100 million 99-year ground lease at an 8 cap or about 30% of overall development cost with 2% fixed escalation would have been unthinkable just 12 months ago, when banks and other providers of capital were much more aggressive. We've in effect, waited for the world to come our way, and it's beginning to. Over the past year, we have been comfortable waiting to be throwing strikes. Rockford was a strike. And the current environment holds the promise of throwing a few more. We will see. Dialogue with potential counterparties has been healthy around a number of generally smaller potential opportunities and we remain highly focused on risk-adjusted returns in this environment. As Peter likes to say, many are called and few are chosen. No mention of opportunities would be complete in this environment without a discussion around funding. Our funding philosophy remains the same: do it right and sleep at night. When we approach transaction funding and our overall business model, you can expect to see the same continued discipline around match and prefunding that results in GLPI locking in transaction accretion for the benefit of our shareholders, and avoiding equity overhang and avoiding what I'd like to call, getting off sites. Our leverage and liquidity are at levels that strengthen and support our business model, with net debt in the high-4s, a staggered maturity profile, our next maturity not due until next September, and over $1.8 billion of available liquidity between our revolver and quarter end cash position. Our balance sheet continues to be a solid foundation for all that we do, and you should expect that to continue. Overall, we remain focused on all aspects of our business with a goal of maximizing long-term intrinsic value per share. We also appreciate the partnership we have with all of our shareholders. Thank you for joining us this morning. I'll turn things back to Peter.
Peter Carlino: Well, thank you, Matthew. I appreciate that. And with that, operator, let's open the floor to questions.
Operator: [Operator Instructions] First question comes from the line of Greg McGinniss with Scotiabank. Please go ahead.
Greg McGinniss: Given the broader economic backdrop and elevated interest rates. How is that impacting your underwriting, your targeted cap rates or investment spreads, types of transactions you'd like to do and the availability of those deals? And then if you could also just touch on expected investment spread on the Rockford deal as well. So our math is putting it at like a 30 basis point investment spread, but just thinking about -- how are you guys thinking about it?
Peter Carlino: Matt, why don't you take that?
Matthew Demchyk: Well, taking a step back and looking at the macro environment, I mean, clearly, rates are up, volatility is up. We see economic and geopolitical forces that make certainty a lot more challenging, and we've got still a lot of money in the system from the printing that the Fed did effectively. And our goal is really to be agile and adaptable the environment. So we're playing against the new defense and we need different places to play. And we still stay resolute in our goal also maximizing long-term intrinsic value per share. So you've seen a lot of this in the actions we've taken in the previous quarters to position ourselves for an environment like this, getting our balance sheet at the leverage level we talked about. And also focusing on really the simplicity of match funding, prefunding and finding accretion. So I mean, people seem to detach in conversations where cap rates, where funding costs. And for us, it's all about a risk-adjusted spread. And Peter's point on the Rockford transaction. I mean, they have a ground lease to be at that part of the cap stack with an 8 yield out of the gate and a decent spread. So look at the capital we raised during the quarter at 48 handle you can calculate the spread, it's very healthy there, very healthy for our business and value accretive. One thing that seems to be missed in the environment by maybe some is, the need to check 2 boxes with acquisitions. Not just the box of initial earnings accretion but also the box of -- just actually add value to the business over the long run. And when you look at the deals we do, there's a lot of subjectivity qualitative and quantitative factors that go into the latter and we strongly believe that Rockford checks both boxes. And the things that are in our pipeline are generally smaller, so they enable us to be really balanced with our funding. But we ask the same questions, and we have the same goals. Does that answer what you're looking for?
Greg McGinniss: Yes, I think we can get what we want out of that. Thanks, Matt. Looking at Queen Baton Rouge, I can appreciate you guys not wanting to disclose ahead of them. It does look like looking at the gross gaming revenue, it was up like 85% year-over-year. So pretty significant job there. However, they also have the Belle Baton Rouge, which saw a bit of a decline year-over-year. And I know Caesars was looking at doing an investment there before selling the property. Just curious what might be happening there? You also bought a couple of buildings nearby. So curious what that was for, and then how it even works in terms of making additional investments there as the assets kind of still under the casino -- sorry, the Caesars master lease, while being owned and operated by Casino Queen, just -- any details you can provide would be helpful.
Peter Carlino: I'm going to ask Brandon Moore to speak to that. Brandon is very close to that issue.
Brandon Moore: Yes. I guess I'll start with the last part of the question is whether or not that will be moved to the Casino Queen lease from the Caesars lease. And the short answer is yes. We anticipate moving that property formally over from the Caesars lease to the Queen lease. The thing that was holding that back was a small piece of litigation involving two of the leased properties that's now been resolved. And so we're working to move that property over. The bigger question on what's happening with the Belle, I think, is probably a better question for Bally's than it is -- or for Queen than it is for us. But clearly, they've made some -- they have put in an application to do a landside move off the boat into the atrium there at the bell. I think that's still being evaluated, and we're currently evaluating what our role in that will be. But I think if we can play a role in moving that land side in a way that's accretive to the shareholders, we'll certainly be a part of that. So I think there's more to come on that. We've been focused more on solving the legal issues there and being able to move that property into the Queen master lease, and I think we'll be able to do that shortly.
Peter Carlino: Yes. Look, it's right in the sweet spot of what we do and coming off the heels of a terrific job patting ourselves and our team on the show for what we did down the road, if you will, with the old Hollywood property. It really is quite exciting. So I invite anybody to get out and take a look at -- that $78 million spent in gaming. So anyway, you've got a good answer. We'd love to participate if it fits and fits their desire.
Greg McGinniss: Last question for me. I'm thinking about your kind of commentary on leverage, how are you thinking about addressing the $400 million term loan coming due next year? Are there any plans to take that out early or address it early or potentially just paid off using cash, cash flow or ATM?
Desiree Burke: It's actually a $400 million bond that isn't due until September. Yes, and due in September 1 of '24, and all of those are options. I mean, we look at our cost of borrowing or cost of raising equity on a daily basis. And obviously, we have free cash flow each year. So we haven't concluded at this point that you can stay tuned for that, but know that it's definitely on our radar.
Greg McGinniss: Alright. So is the overall plan to be reducing leverage from here?
Matthew Demchyk: So we mentioned last call, we're at a steady state place we like, and any incremental delevering really prefunding opportunities and based on the health of our pipeline that we're effectively at our sweet spot in this at this level in this environment. So there's no need to proactively delever for its own sake. It's really to do things offensively.
Peter Carlino: Yes. Desiree pretty well answered it, that this is an everyday event for us. Look, we're in the finance business. We're looking at bank, we're looking at bonds. We're looking at equity. And we'll take advantage of any one of the 3, if they line up in our gun site. So we're going to be opportunistic where we can but realistic at the same time.
Operator: Next question comes from the line of Jay Kornreich with Wedbush. Please go ahead.
Jay Kornreich: Wonder if you can just start off giving some commentary around the depth of the buyer pool you're seeing in the regional casino market. And how that may be impacting cap rates holding steady even in this uncertain market, or if the buyer pool is spitting out, which leads to cap rates rising?
Peter Carlino: Steve, you're looking kind of quiet at that end of the table. So...
Steven Ladany: Yes. Look, I think the buyer pool is ever evolving. I feel like the market backdrop as far as the capitalization in the credit markets has changed the players slightly. So the cash buyers who were highly levered and taking advantage of low-cost debt have pulled back some. However, others have started to participate as you've seen with folks like Realty Income. So I think the players might have changed, the game remains the same. I think, broadly speaking, everyone involved realizes that market cap rates have moved. So whether you're a new entrant as a buyer or a bidder or you're an existing and long-standing person like ourselves, you realize that the market is changing and the cap rates need to adjust in order to garner the upfront accretion that Matt mentioned earlier, even though there is the qualitative aspect.
Jay Kornreich: Right. And I guess just on that comment, do you have a sense of how much cap rates have already moved? Or do you need to see more transaction activity to get a sense of that?
Steven Ladany: I mean, I think you're ultimately going to -- it's going to be dependent on the transaction, right? There's not a -- this isn't cookie cutter. So we've seen historically, even if you look back before the credit markets have dislocated, you had very different cap rates for different assets. We bought an asset in Maryland from the Cordish folks, and we paid a low cap rate. There was an asset that traded also in Maryland than 6 months later at a materially different cap rate. So it's going to be very dependent on the asset, the market and things of that nature. But I think wholeheartedly, I think the entire marketplace is seeing a shift.
Jay Kornreich: And if I could just throw in one more. Regarding the construction financing that you guys made some commentary on, specifically with $150 million development commitment to the Hard Rock Casino development. Is this type of higher interest construction financing something that you guys like and we should expect to see more so going forward of? And then also just specific to the Rockford, how likely do you foresee that becoming a ROFR going forward or using the ROFR, I should say?
Peter Carlino: Des, do you want to?
Desiree Burke: I mean, obviously, a 10% rate on the construction loan was specific to the Rockford transaction because it was well underway when we entered into the financing. So whether or not we would do it going forward, sure, depends on the facts and circumstances as to which projects we determined to undertake. To answer your question on the ROFR, we negotiated for it specifically. We would like to own the asset someday, but we can't quantify whether that will occur or not.
Brandon Moore: Yes. I think the ROFR you should see as -- what we've said in the past was we would do these types of loans if there was a segue to property ownership. So in this transaction, we acquired the land and we negotiated the ROFR so that the building -- changes hands, we would have the ability to potentially acquire that building. I think that we're somewhat uniquely positioned in this area to underwrite a loan like this because as you've seen in Baton Rouge. And if you look back to the history at PENN National, now PENN Entertainment, we have significant development expertise here with Jim and Peter and others that I think we're confident in underwriting that type of a loan. So in Rockford, we were pretty confident with the Hard Rock team, the ownership team and the ability to get that casino constructed. And so you may see more of that from us. But it will be thoughtful, and it will depend on each project and what it brings to the market and what we view the risk of the construction to be.
Matthew Demchyk: Think of it, Jay as a tool in our tool chest to provide an even more holistic one-stop solution for a counterparty.
Operator: Next question comes from the line of Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: There's been some commentary this quarter on macro pressures for the operators. I think we all understand how safe your end streams are, but wondering how you're thinking about the current environment there. I guess I'm curious if it's influencing any of your deal discussions.
Peter Carlino: Who wants to grab that one?
Matthew Demchyk: Question is how the macro environment plays out? Yes. Look, we have to be continually careful. The volatility is higher and the odds of things moving are more significant, but there's more natural openings for folks to need, again, solutions, from folks like us. And if they need money or they're an environment development and redevelopment is something they need to do. The reality is that cost of funding for everyone has moved up. But as a counterparty, we're uniquely positioned to try and meet their needs. That's bleeding into all the conversations we're having with folks.
Steven Ladany: Yes, let me...
Brandon Moore: Go ahead, Steve.
Steven Ladany: On a deal-specific or property-specific underwriting, though, Barry, I think to your question, I think we are comfortable that the gaming revenues have held in pretty well. Obviously, the commentary coming out of some of the operators' calls is that their costs are escalating. And so I think when we look at the underwrites, we're scrutinizing the ultimate cash flow that's coming out of those assets and the surety and stability of that number and whether there'll be deterioration as costs continue. So what I guess I'm going to say, a long way of saying, we're very focused on the rent coverage upfront and ensuring that we feel comfortable with it longer term.
Barry Jonas: And then just for a follow-up question. Can you maybe just give us an update on next steps for Tropicana. And I'm curious if you have any thoughts you can share and what might drive you to allocate more capital there than what you've outlined so far?
Peter Carlino: Brandon, why don't you take that? We all have a thought around the table, but why don't...
Brandon Moore: Yes. I think Tropicana is a process largely driven by the A’s and Bally's at the moment. I mean, as the landowner there, we have a unique interest in making sure that the value of what we own there is preserved. And then, I think to your question as to how much we might participate. You know that we -- I think we already have disclosed that we've committed to a minimum investment number to help demolish and clear the site and to do a little bit of shared infrastructure as to whether or not we decide to invest more into that project. I think it really depends on how the project comes together, we're sort of waiting to see what the A’s put out in their stadium design. And then we will work with Bally's and the A’s, to determine what the casino resort might look like. And when the time comes for us to make a decision as to whether or not to invest, we'll do that based on the project and what we see in front of us at that time. I do think there will be an opportunity for us to invest more, but it's way too early in the process for us to make any sort of commitment on that now.
Peter Carlino: Perfect. Said it best.
Operator: Next question comes from the line of Haendel St. Juste with Mizuho. Please go ahead.
Haendel St. Juste: So my question has to do on nongaming. We saw one of your peers execute another nongaming deal in the bowling sector here. I'm curious if that's something you would have considered and how differently perhaps you would underwrite nongaming investments versus conventional gaming investments today?
Peter Carlino: Our answer has been pretty much the same for years. We look at everything -- we've looked at bowling. I mean, I'm being very direct. And this decided particular transactions that just didn't fit what we're looking for. Look, I think the best answer is we'll continue to look. So long as we can find the kind of transactions that we're finding in the gaming sphere, and you've seen a couple right in front of you that we've presented today, we're going to stick with that. It's what we do. It's what we do best. I've always said someday, maybe will be someplace else. But we're not in a hurry to jump into bowling or frankly, anything else, unless it makes such a terrific sense that we could sit here with a straight face and say, this is a fat, fat deal, solid, solid, solid. I mean you know what our criteria are. And -- so would we have done that transaction. Look, I can't speak for somebody else. But we look at everything, Matt used my favorite line, actually probably from the bible, many are called, but few are chosen. And that's kind of the way we operate here.
Matthew Demchyk: And pound for pound, you look at -- we think the dollars we put into Rockford eclipse the upside of anything we saw outside of gaming in the past quarter. If we found something that was better, you would have seen some sort of headline on it. But remember, we have to sell a piece of our portfolio. Every time we buy something new in the form of our equity. And if we're not getting a better return on that incremental capital, and also doing something we think is going to increase intrinsic long-term value per share. We're not going to do it. We don't mistake activity for progress. We're very methodical in the way we think about things.
Peter Carlino: Yes. I'm not saying we're right versus somebody else, but it's kind of the way we operate. We only take the long view.
Matthew Demchyk: It's good being in a world where there's a short list of bidders. I mean, once you start getting outside of gaming and some of the more traditional triple-net opportunity set, the list of folks bidding on it is greater typically, the price efficiency is greater and the opportunity for alpha from the kinds of things we bring to the table is less generally.
Haendel St. Juste: I appreciate that context and color. Maybe then what is your -- how do you view the right investment hurdle? What is your current hurdle rate today in light of the current environment?
Matthew Demchyk: We hate to quote a number because every situation is different. You can kind of back into what we did in Rockford and it's a very healthy spread for that set of circumstances, that quality of cash flow, and we want to mimic things that have some similarity to that spread. But we can't -- look, we are the price discovery for some of the deals in our pipeline right now, and we can't really negotiate openly on our calls around what the appropriate spread is.
Peter Carlino: We can tell you we're confident, is more is better than less.
Matthew Demchyk: And we try for every basis point we possibly can get. And it has to check both boxes. It has to be initially earnings accretive and long-term value accretive.
Peter Carlino: And that having been said, we're not always a low bidder. I mean, frankly, that's not our goal. Our goal is to provide a complete answer to the needs of our clients. And sometimes, it's pricing. But more often, it is an assembly of things that we can bring to the table that others can. And I think the Queen deal in Baton Rouge is illustrative of that.
Haendel St. Juste: Certainly, certainly. One minor follow-up. I appreciate the comments on the balance sheet earlier, but it wasn't clear -- kind of where you guys felt the right target leverage range was in the current environment. I think that the EBITDA today is 407, really good really low, but where should we see that migrate to? Or what do you -- how are you thinking about the right target leverage range today?
Matthew Demchyk: We've, for a long time, pointed out 5 to 5.5 is the target range over time. And we've also said more recently that we're very comfortable being near at around or below the lower end of that range given the environment. But remember that gives us capacity to be opportunistic. And you may, in certain situations, you just get closer to the bottom end of that range for the right opportunity in the right situation. We've got optionality. And I'd expect to see us toward the lower end of that range over an intermediate period of time.
Operator: Next question comes from the line of Daniel Guglielmo with Capital One Securities. Please go ahead.
Daniel Guglielmo: So on the operator side, it's pretty clear that growth from an organic perspective in the brick-and-mortar is going to be a little tougher near term and management teams may need to spend a little more to get growth there. Have you been getting additional inbound calls around financing, that kind of stuff and more -- maybe moving up the time line of any projects already in the pipeline probably relates to the hiring of Jim, too?
Peter Carlino: Steve, do you want to talk about that?
Steven Ladany: Yes, sure. No, I think you're correct that -- as the capital markets have become more difficult to navigate, most of the gaming operators are not normally issuers of equity and they've traditionally leaned on the high-yield market to access additional funds. So rewind 2 years, when people were going to build or contemplate a new hotel tower, they were going to fund it themselves at a cheaper cost of capital than I would have offered. Fast forward to today and the exact opposite is true. So we have had -- I think there's 2 things. One, the operators have a renewed interest in investing in their properties to try to drive growth because I think the external growth pipelines are a little more challenging right now. And secondly, I think they're much more open and willing to have conversations with us around potential funding source especially in properties we already own with them. So yes, the velocity of those conversations has definitely picked up.
Daniel Guglielmo: And then just around the Bally's relationship and thinking about the Lincoln option, do you all think that can still happen next year? Or is that going to be like the option went out to 2026. Is that going to be kind of later? I know there's a lot of moving pieces that the Bally's that -- but just kind of thinking about it from like a modeling perspective, I'm not sure we can see it.
Steven Ladany: Yes. So I think, look, we pushed it out to '26 in our negotiations, mainly because we don't have clarity, right? They're not our lenders that are holding up the ability for them to do it. So we didn't really have clarity. We are cognizant of the maturity date on their revolver and therefore, we did look to move that timing out such that if that debt gets refinanced and that prohibition is removed, we feel comfortable and confident that we would have that an opportunity to complete the sale-leaseback transaction. So we don't have any insight into the timing or any insight into updated conversations, which may or may not even be happening with their lenders.
Operator: Next question comes from the line of Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Just in terms of destination versus regional. Peter, I know you've talked about this a lot, regional, obviously, being more resilient during different times of the cycle, but hitting kind of a near-term ceiling right now, destination, i.e., Vegas, really capitalizing on the inflation pricing environment. but having more cyclicality. Has anything changed just in terms of how you're thinking about the 20-, 30-year long-term lease opportunities and kind of the spreads between regional and destination?
Peter Carlino: That's a fair question. I don't think much has changed because it varies property to property. How secure is a property in a given market, I'm just picking one that jumps in my head, the Cordish property in Maryland, for example. That thing is a rock solid. The PENN property at Charles Town. You can look at a handful of regional properties that for unique reasons are going to be strong today and going to be strong tomorrow. We're not in Las Vegas. If we saw more opportunity in Las Vegas, you probably see us, and we do poke around there as well. We're not opposed to owning property on the strip or elsewhere in Nevada. And we do look at things there on a routine basis. But it just gets down to, can we add value -- pretty much that's Mantra. Can we add value, long-term value for shareholders. I really don't care what it is, and you've heard me say before, and it's actually kind of serious that -- I don't want a shack on the beach with no windows and doors. If the revenue from that -- because I don't care much about asset quality, I've being a bit facetious. What we care about is income quality. How secure is that income now and 30, 40, 50 years from now. That's what matters. And that's the only thing that drives us no matter where it is or what it is.
Chad Beynon: And then as we think about the, I guess, the purchase price size of opportunities, obviously, Rockford circa $100 million you've had others in the last year or 2 that were kind of in the $500 million to $1 billion range with Tiverton and Cordish. As we think over the next couple of years, should we expect more of kind of these bite-sized opportunities, the circa $100 million to $500 million? Or do you still think there's opportunities out there that are north of that?
Matthew Demchyk: It's tough to see out 2, 3 years, but in the relatively short term, we certainly see a robust opportunity set in that $100 million to $500 million range. After that, I mean, this environment has to season before we see kind of larger mega deals. That said, that can change.
Operator: Next question comes from the line of David Katz with Jefferies. Please go ahead.
David Katz: So I wanted to just talk more about the Trop side, which -- and I think one of the earlier questions may have touched on whether this $175 million, like, what the ceiling on where that could go is, I assume that the -- once the property does shut right the rent is suspended? Or do they continue paying rent?
Peter Carlino: It goes on forever. It goes on forever.
David Katz: Rent is forever. Got it. But in terms of where the boundary is as to what you would consider participating in, is there a boundary? And presumably, the outcome of whatever you do participate in is going to be rent based, not operating base at the end of the day, correct?
Peter Carlino: Absolutely. Look, there's no -- almost it relates to the last question. There's no real limit. I mean we do a $5 billion deal, but is money available? Can we do it with a proper spread?
Steven Ladany: Project going to get a [indiscernible] long term?
Peter Carlino: Yes. It all gets down to the same issue. So we haven't seen yet where this is going to go. The script is not written in, at the Trop site. We have an interest in, obviously, the long-term plan there to preserve the value of what we've got. We could do something more, but we haven't seen that yet. We're well ahead of where that is. So we'll have to see. Anything is possible, but the same criteria applies.
Operator: Next question comes from the line of Smedes Rose with Citi. Please go ahead.
Smedes Rose: I guess, I was wondering, you talked about this on the last quarter call a little bit of -- is there any sort of update from PENN in terms of their plans and your -- would you still expect to put capital towards those projects next year that they've talked about? I think you said you bought some land maybe last quarter in Aurora. I'm just wondering if there's anything on that, that you can speak to?
Peter Carlino: Nothing certain. I can say, because I'm in touch with some of the architecture or the architects doing work for these projects, that they are going full speed ahead with design and so forth. So precise timing, we don't have really don't. Maybe you need to get on the phone, give them a call, just refine and say what's your timing. But we know that they're committed to those projects. And -- but timing, I don't have, anybody around the table have a better sense?
Brandon Moore: I don't have a better sense of timing as for our fund raws. I mean, I think PENN has said that those projects are moving forward, and we don't have any reason to believe that they're not. So I think it's just a matter of where they decide or when they decide to draw our funds. And I think you can look at the market and their borrowing rates. And we're trying to stay in close contact with them so that if there's a change in the timing of the need over those funds that we would be -- we would have advanced notice of that, but I'm not aware of anything specific that's changed their timing at the present time.
Peter Carlino: But we're looking forward to it. So -- and expecting it somewhere down the road.
Operator: Next question comes from the line of Connor Siversky with Wells Fargo. Please go ahead.
Connor Siversky: First, I want to start on labor. I mean just across labor-intensive businesses in the U.S., we've seen a ton of strike activity over the last year or so, and I'm wondering where this sits on the spectrum of risk for GLPI, and then whether or not higher labor expenses are making their way into your underwriting framework as you address future opportunities?
Peter Carlino: Well, look, one advantage of having 61 properties now in our portfolio that we can have -- I used to say that, and I still say our revenues are largely bulletproof. And I think they are. And then they used to say we're taking an atomic attack to really threaten our business. We actually had one, called COVID, the equivalent of a neutron bomb that shut down properties coast to coast. But let's hope that, that's a onetime aberration that we'll never see in our lifetime again. And again, then we look to the distribution of our income across the portfolio. And again, master lease means a lot in that case. So I don't think there's anything on the horizon that we find threatening anybody around the table have a different view.
Desiree Burke: I mean, I agree that it has impacted our tenants, but it hasn't impacted our rent. Our rent is fairly fixed across our portfolio. And so -- and you're right, you have to consider their margins when you're doing the underwriting, but we definitely do that. And as we said, we have really strong rent coverage still at every property. So it hasn't impacted us, and it will first impact the tenant before it will impact GLPI.
Peter Carlino: Yes. One of the advantages we have is that we're gaming people. I mean that's kind of who we are. So that when we look at these markets, we know them we spent decades understanding them so that I do think we bring an understanding of risk and location and all the things that we consider as part of our underwriting.
Connor Siversky: Yes. Right. Understood. And just to clarify, I'm asking that question in the context of rent coverage, but I understand your points there. And then second, maybe just taking a more abstract look at the world, but a couple of interesting things in net lease earnings this week. So on one end, you had to read temper expectations. They're not really penalized by investors. On the other end, we saw some accretive transactions take place that were not well received. So from the perspective of GLPI as we look into 2024, is there any sense out there that it could make sense to put on the brakes even if accretion is apparent, if it's just not an asset where you're comfortable taking on that kind of risk. And then maybe specifically, if we look at Bally's, for example, I mean, we have an operator that seems to have a challenged cost of capital, there are expansion plans that need to be funded. So does this open up the door for GLPI to become the preferred funding source and maybe a couple of attractive opportunities on that end? And then maybe taking it a step further, is it worth taking on a degree of what could be perceived as corporate-level risk for assets that are performing well at the property level?
Matthew Demchyk: I'll take the first part, Connor. I mean, we live with a foot over the gas and a foot put over the brakes. The last year, I mean, someone asked last call, "It's been 12 months, why didn't you do anything?" And I'll say here, one of the deals that we didn't get, we were exactly the same at cap rate, but we wanted more coverage to your question about how do you think about risk. We've done it before it was popular or in fashion. So that mentality is not going to change in this environment. And I suspect we did Rockford not long ago. And every feedback item we heard was positive because it checked those boxes, not just am I OpEx short-term GAAP accretive, but people agree with us, this is long-term accretive to the value of your company. Thanks for doing this. And when you think about smaller deals that we kind of bite-size match fund in a balanced way, but expect to have similar responses as long as the risk profile fits what we're mandated to try and find. And I'll give Peter the second...
Peter Carlino: Go ahead. What you're going to say. Steve?
Steven Ladany: Well, so I'll try to answer 2 and 3 and then people can help out where needed. So the second question was around Bally's and opportunities of funding. Look, I think I think with respect to development transactions, whether it's Bally's, Rockford, player to be named later. I think we look at these things twofold. One is, how do we reduce the construction risk. So we're going to look at what's our level of oversight. Do we have a seat at the table to help make decisions, monitor the budget, how closely can we be to kind of foot in the door on the ground and at the table to control the budgeting experience. Secondly, we have obviously a lot of experience between Jim and Peter and the rest of the team here. And then lastly, we're going to look at contractual and procedural protections to make sure that we have everything buttoned up so that there are no surprises and there's no budget bust or overrun or something in that nature. Now once we get through all that, if it still somehow makes sense and we can feel comfortable that the risks are manageable, then we have to get a commensurate return to balance that and offset that risk. So I think it's a large process. I'm giving you a circuitous answer, that until we do all that work and can get our head and hands around all of that information on any development project I could not tell you whether something makes sense or doesn't make sense. And rest assured, if we get to the point where we feel comfortable with the risk and we feel like the return we're getting is commensurate with the risk, then you'll probably hear about the transaction. So that's kind of how we go about the underwriting process on the development side. With respect to a corporate deal versus a property level deal, I mean, I think right now, there are a number of gaming companies that are seeing their share prices impacted by things that are at the corporate level, whether it be growth opportunities, interactive opportunities and the like. And I think in many of those cases, if you look at our master lease performance, we have very strong rent coverage. So I think in situations where we're comfortable with the underlying properties and who's running them and how they run them in the future long-term cash flow prospects, we are comfortable still transacting on those bases. I think, though, it depends on the corporate level, it depends on what's going on in the corporate level. I don't think we're -- you're going to see us run into a burning building. So if there's a pending bankruptcy coming I'm not sure how quickly or eager we're going to be to step in and buy property because it's covering at 2.5 times, only to find ourselves going through some process. So I think it depends on the pendulum of opportunity where things sit. But ultimately, we're underwriting the assets we own. We're comfortable with the assets we own. And one of the things we consider when we look at transactions is, would someone else be willing to run these properties and operate these properties and step into this lease if this party that we're currently working with was no longer there. And so if that's a yes, then it makes the underwriting decision significantly different.
Operator: Next question comes from the line of Robin Farley with UBS. Please go ahead.
Robin Farley: Great. A lot of my questions have been asked already. I guess just circling back to the issue of potential non-gaming. Can you describe a little bit more? You said you looked at something and it wasn't really a fit for you. Is there any more color on kind of what made it not fit for your goals? And then were you suggesting -- you made a comment about, when there are a lot of bidders for something that it's -- not necessarily something that you'd end up doing. Are you suggesting that, that was the case for that nongaming transaction? Or I didn't know if that comment was unrelated.
Peter Carlino: Probably, Robin, unrelated. Look, I don't like auctions. I have to speak for myself around the table, whether it's art, whether it's cars, whether it's anything, I'd like to say the winner loses. And I think often that is the case. So to say I'm high bidder in -- for any one of those things, including -- I wouldn't take as a point of pride that we paid the most for any property of any type. So look, we, I think, do business around our -- Matt has the best word for it. Our bespoke offerings, the ability to provide something that our clients want that maybe somebody else can't provide. It's a package of things, and I think we do that extraordinarily well. But just to straight up, we're going to bid the highest price for almost anything that's just doesn't -- in our DNA, not saying we wouldn't do it under some circumstances, but it's certainly not our goal, first, second or third. It just isn't. With respect to other properties, no, I don't think we've lost a bid or anything like that or any other group of assets. Look, we've looked at golf courses. We looked at every possible entertainment on the planet. And we've been doing it year in, year out. just haven't seen anything that gives us the kind of secure comfort that we get from the stuff that we present to you today. And if we run out of that stuff, I don't know, maybe we'll Well, we'll deal with that if we ever get there. But so far, that hasn't happened. In fact, we're very encouraged by what we see as our pipeline and portfolio of opportunities right now. So we're going to stick close to our knitting. We'll look at other stuff. We do have almost every week. But we haven't seen it. Is that fair, gang?
Matthew Demchyk: I mean, when we look outside of gaming, the goal is not to focus on just experiential. It's to find durable cash flows that have some strategic tie-in to what we do currently. And if you look at the continuum of consumer discretionary from one extreme staple to other extreme, totally discretionary, regional gaming tends to be about as stable as it gets. I mean, you can look at the resilience of the cash flows of our underlying company to start with overall. And it's really hard to find that on a risk-adjusted basis outside of gaming. I think that's the point you keep hearing from us. We know what it looks like. We do it in our day job all the time. And to the extent we see something that adds to that, we're happy to do it, but it's a tall task. At least it has been, I mean the opportunity for alpha within gaming. When you think about where cap rates are and how durable cash flows is, there's still a fundamental mispricing in the market. It has been institutionalizing, but it's not there yet. And at some point, maybe it will be -- maybe this math is the opposite, and maybe you do see us do more to Peter's point. But we're still somewhere mid-innings in that curve.
Peter Carlino: Yes. Let me add this, Robin. We're not opposed to doing something outside of gaming, by no means at all. And maybe we'll know it when we see it. But if we get on a call like this, and we've done something else. I want to be able to have the greatest confidence on the planet that the story we're telling you is a terrific one. And we just haven't seen that opportunity.
Operator: Next question comes from the line of Ronald Kamdem with Morgan Stanley. Please go ahead.
Unidentified Analyst: You have Janet [Indiscernible] for Ron. Just two quick ones for me. I think the first is, if we just dig in on the pipeline right now, like in this even higher rate environment, do you think that's even lower your conversations in the last quarter? That said, if the deal conversations are ongoing right now, is it still on the same pace? Or I will party -- rather wait a little bit longer to continue? Like, any color on that would be helpful.
Peter Carlino: Steve, do you want to take that, or Matt?
Steven Ladany: Is the question if conversations have slowed? I'm sorry, I wasn't following.
Unidentified Analyst: Like even slower in the last quarter? Or do you think like all the conversations you have ongoing right now is still on the same pace or? Yes.
Steven Ladany: No, I think -- look, I think the markets obviously cause people to kind of react, I think, at a little more measured pace. So I think there's probably some truth to the fact that things are moving a little slower and people are constantly reevaluating where things sit and where things stand. So I don't disagree with that. I think that's accurate.
Unidentified Analyst: Nice. The second one is a follow-up question about the refinancing. I'm seeing like the current interest rate on that $400 million is only at $3.35 million. Given this higher for longer environment, like think about 2024, like from a modeling perspective, like how should I think about the potential, let's say, interest rate headwinds on AFFO in 2024 or even 2025? Any color on that will be helpful.
Desiree Burke: I mean if we were to refinance it with the 10-year, we're talking mid-7s. So you're right, obviously, our cost of borrowing, like everyone else, is going up.
Unidentified Analyst: Yes. If I think about. Yes, right...
Peter Carlino: Yes, maybe the market will give our equity, the price it deserves. That will raise a lot of cash that way. Look, I said earlier today that we -- this is a tough environment for everybody in the borrowing world. We look at equity, we look at bank debt, we look at bond debt. And it's an everyday process. I mean, literally, people wandering around the halls among this group here, saying, where is the window. We're not going to hold out for the unimagined -- we're going to be opportunistic as we see best, but we're also going to be practical. So we're going to pick that point along the way that seems to make the most sense for us. But really thinking about where it is. We want the lowest prices. However, we get there. And only time will tell just where that's going to go. But look, we keep an eye on that.
Unidentified Analyst: That makes so much sense.
Peter Carlino: And by the way, your guess is probably as good as ours on where we might end up. So...
Operator: Next question comes from the line of R.J. Milligan with Raymond James. Please go ahead.
R.J. Milligan: Just two quick ones. First is, what is the expected impact of the rent reset on the PENN master lease coming up here in a few days?
Desiree Burke: Right. So we gave you that in my introduction point. We expect it to be between $5 million and $6 million of a rent reset down for PENN.
R.J. Milligan: And then what is the expectation for internal growth for '24, just sort of based on the rent escalators?
Desiree Burke: Right. So the maximum escalation that we can get in any year is around $20 million.
Peter Carlino: Operator, I think we'll take just one more call. We're pass 11:00, and I think it's time to wind things up. I'm sorry, if we have to cut somebody off, but do you have anyone else on the line?
Operator: Mr. Milligan. Are you done with your question?
R.J. Milligan: Yes, I'm all set. Thanks.
Operator: Next question comes from the line of Chris Darling with Green Street. Please go ahead.
Chris Darling: Thinking about the Marquette transaction and given that you now own all of Casino Queens assets, can you help me understand how you think about the holistic risk of owning the entire portfolio of the single operator. And I suppose the flip side of that is you might also benefit from incremental growth opportunities given that deep relationship. So just any thoughts there would be helpful.
Peter Carlino: The quick answer is, if they're doing well and have demonstrated they're capable of running these properties successfully, but we're thrilled to have it all and every last time of their opportunity. So far, I think I could say with some confidence, they're doing a terrific job, and we're delighted to be partnered with them. Any other thoughts around the table? That's the quick and completely honest answer. Steve, do you have any thoughts.
Steven Ladany: No. No. I mean I just harken back to like when we did the Pinnacle transaction. There was only one asset that they retained that we didn't own the real estate of at that point, and that was a tax-driven negotiated point. So -- so it's not the first time that we'll have a tenant where we'll own all or almost all of their underlying properties, and we've done it before, and it's -- they've managed successfully, and that's kind of how we look at the underwriting.
Peter Carlino: Yes. So we're doing well. We want to own all of everyone's properties.
Desiree Burke: And they are one of our best performing rent coverages at around 2 times, almost 2.4 times and with the addition of the new Baton Rouge property, we expect that to continue to be strong. So we feel it's a good underwriting effort.
Peter Carlino: Yes, we feel good about it. Okay. Well, look, I think we're kind of out of time right now. We invite you always to contact us directly if we've let somebody at the altar here, and you have a question call any one of us, and we'll do our best to provide what you would wish. With that, we thank you very, very much for dialing in this morning, and we hope this has been helpful. See you next quarter. Thanks, operator.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.